Operator: Good afternoon and welcome to the Entravision’s Second Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note today’s event is being recorded. At this time, I would like to turn the conference call over to Walter Ulloa, Chairman and CEO. Sir, please go ahead.
Walter Ulloa: Thank you, Jamie. Good afternoon, everyone, and welcome to Entravision’s second quarter 2020 earnings conference call. I hope everyone is staying healthy and safe in these difficult times. Joining me on the call today is Chris Young, our Chief Financial Officer. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risk and uncertainties that could impact actual results. This call is the property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Entravision Communications Corporation is strictly prohibited. Also, this call will include non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most comparable GAAP measures in today’s press release. The press release is available on the company’s website and was filed with the SEC on Form 8-K. Our second quarter results were affected by the COVID-19 pandemic and the resulting economic crisis, which caused revenue declines across all of our business segments, compared to the prior year period. We anticipate a continued adverse economic environment due to the pandemic for the balance of 2020. Accordingly, we continue to manage our cost structure in a most efficient manner in order to align our operations most effectively with the challenges we are presently facing. I’ll walk you through the various expense saving steps we have undertaken later in my remarks. Looking beyond the difficult business environment, our balance sheet today continues to be among the strongest in the industry with approximately $138 million in cash and marketable securities on the books versus a total debt of approximately $216.8 million. At the end of the second quarter, our total net leverage was 2.6x. Turning to our financial performance, revenues decreased 35% to $45.1 million in the second quarter. Consolidated operating expenses were down 24%, and consolidated adjusted EBITDA was down 86% to $1.7 million, compared to $12.6 million last year. Net income was $2.3 million, compared to a loss of $16.3 million in the same period last year. Turning briefly to our television segment operating results, television revenues in the second quarter were down 29% to $27 million, compared to the prior year period due to the pandemic. National television advertising revenue was down 25%, while local advertising revenue was down 43%. Total television advertising and multicast revenue was down 39%, while retransmission consent revenue was up 3%. Looking into our top 10 ad categories for television in the second quarter, services, our largest advertising category, was minus 6% for our television segment and represented approximately 32% of our total television advertising revenue. Auto, our second largest category, was down 57% in the quarter and represented 20% of our television ad spend. On a brighter note, health care, our fourth largest category in the quarter, was actually up 36% over the prior year and represented approximately 12% of our television ad spend. We also saw a 6% increase in the financial category over the prior year. All other top 10 categories were significantly – were down significantly in the quarter, with the exception of political, which represented $1.3 million in television revenue versus $36,000 in the prior year period. Turning to our radio’s performance, our Univision television affiliates built upon their market leadership in May 2020. For adult 18 to 49 in early and late local news, our Univision television stations finished ahead or tied with our Telemundo competitor in 12 of 17 markets where we have head-to-head competition. Among adults 18 to 49, our early and late local newscasts are ranked number one or two against English and Spanish language competitors in eight markets, including ties. Last week, we were also pleased to announce that our Denver News operation had won 31 Emmys across 10 different categories, including being awarded an Emmy for Best Evening Newscast regardless of language. Congratulations to our Colorado News team, led by Juan Carlos Gutierrez, for this impressive record-breaking number of Emmys for a single Entravision market. During a full week, our Univision and UniMas stations, combined, have a cumulative audience of 4 million persons 2-plus, compared to Telemundo’s 3.2 million persons 2-plus. We have 25% more viewers than Telemundo in our footprint. During weekday prime time, when compared to all television stations in total, we had higher ratings than at least one of the big 4 networks in 10 markets among adults 18 to 49 and adults 25 to 54, and in 14 markets among adults 18 to 34. Turning to our audio division. Audio revenues were down 53% during the second quarter, compared to the prior year. Local revenues were down 52%, while national revenues were down 54% in the quarter. In the 12 markets that we subscribed to Miller Kaplan market data, we outperformed the market by 7 points in total spot revenue combined. Turning briefly to our audio advertising categories, services, our largest advertising category for audio, declined by 20% over the prior year period and represented approximately 42% of our total audio revenue, while auto, our second largest ad category for audio, was down 69% in the quarter, compared to last year and represented 12% of our audio revenue. All other top 10 categories were down significantly in the quarter, with the exception of political, which represented $620,000 in the quarter versus $8,000 in the prior year period. Looking at our audio division ratings performance for Spring 2020. KLYY, in both Los Angeles and Riverside, continues to perform at an extremely high level among Spanish language stations in the June ratings in Hispanics 25 to 54. In Los Angeles, we are ranked number two in Morning Drive with de Genio Lucas program. This is followed by number one rank in middays with Piolin. We continue to be ranked number one with the Erazno y La Chokolata Show in the afternoon drive time slot. This program is also ranked number two, regardless of language in Los Angeles, in afternoon drive. In Riverside, Erazno y La Chokolata, Piolin and El Genio are all ranked number one Spanish language audio shows in their respective day parts among Hispanic adults 18 to 49 and 25 to 54 for spring 2020. The Erazno y La Chokolata Show is ranked number one in 10 of our 14 markets released for spring among the Hispanic adults 18 to 49 and number one or two in 12 markets among the Hispanic adults 25 to 54. El Flaco y su Pandilla, the latest addition to our Tricolor network lineup gained traction in spring 2020. In key Hispanic markets, like, Denver, Phoenix and Sacramento, the show ranked as the number one Spanish morning show among Hispanic adults 18 to 49 and 25 to 54. For spring 2020, Piolin ranked as the number one or two Hispanic language midday show, in 8 of our 11 markets released among the Hispanic adults 18 to 49 and 25 to 54. And show de Genio Lucas was number or two morning show among Spanish radio stations, 8 of our 9 El Genio markets among Hispanic adults 18 to 49 and 25 to 54. We are excited about the incredible talent we have assembled in our audio division, particularly in Los Angeles, the number one audio market in the United States. We are working very feverishly to convert our recent strong ratings in Los Angeles to stronger revenue. Now let’s go over to our Entravision digital businesses. Earlier this year, we announced the launch of Entravision Digital, which consolidated our digital, media, consumer insights and marketing technology businesses under the Entravision brand. Over the past several years, we have worked to build a portfolio of digital assets that possess digital reach, data insights and creative and programmatic capabilities. This includes Smadex, a programmatic, mobile-first, DSP solution; AudioEngage, a digital audio advertising platform; ScrollerAds, an optimized video advertising marketplace; DataXpand, an international data management platform and audience marketplace with consumer insights; and our U.S. Hispanic marketing solutions for small- and medium-sized businesses targeting Latino consumers. Entravision Digital brings these businesses into unified solutions offering that provides advertisers and agencies a single source to engage consumers globally. These businesses have a successful track record of connecting content and technology with targeted audiences. And the performance and branding capabilities of this marketing technology platform will continue to be an exceptional complement to our television, radio and digital media assets serving the U.S. Hispanic market. For the second quarter, digital revenues were $11.4 million, which represents a decrease of 32% versus the same period last year. The decrease is directly related to the current COVID-19 pandemic. One bright spot during the quarter for digital was our demand-side platform, Smadex, which continued to show growth of 6% globally over prior year despite the difficult operating environment for branding services. In Smadex, we have 3 main divisions: branding that works with the agencies and focuses on brand awareness, value-added services and performance. The performance mechanism inside Smadex provides services to gaming, fin-tech and ad-tech app developers and continues to produce strong growth in the U.S. with a 57% growth rate registered in Q2 versus the prior year period. We remain optimistic regarding our prospects for Smadex in the United States, and we continue deploying our plan to win market share in the app economy. As we continue to focus our programmatic products on cutting-edge transparency and performance, Smadex successfully passed the review process for the IAB Gold Standard and was awarded the brand safety certification. This prestigious certification process was created by the IAB to encourage best practices, including the reduction of ad fraud in digital advertising. We have launched our new version of video ad scrollers to focus on in-game advertising, capturing the great momentum of the gaming vertical. In short, while the digital division’s second quarter was affected by the coronavirus outbreak, looking beyond April, which was the low point of the quarter in both May and June, we saw progressively improving revenue sequentially, which gives us confidence about our prospects for the second half of the year. We’re also excited about expanding our footprint in our local markets, tapping into new categories as well as the new prospects and technology advancements led by Smadex. As we turn now to our outlook for the near term, it’s important to note that many of the regions where Entravision operates have recently encountered a surge of the coronavirus cases, including Florida, Texas, Arizona and California. Our overall operations have shown solid improvement to date in Q3 revenue versus Q2 despite the uncertainty of the current economic environment. As of today, our television advertising business is pacing minus 8%, our radio business is pacing minus 34%, and our digital businesses are pacing minus 18% versus the third quarter of 2019. As a footnote, we currently have more revenue on our books today than our second quarter finish. As we have previously mentioned, over the past 5 months, we’ve taken multiple difficult steps to ensure we weather this dynamic crisis. These steps include a reduction of our workforce by approximately 18%, a company-wide reduction of salaries for those still on the payroll, the cancellation of our stock buyback program, the reduction of our dividend to shareholders by 50% to $0.025 per share initiated last quarter; and lastly, the elimination and reduction of various expenses at both the operating and corporate level. We expect these cost reductions to result in a year-over-year fixed and variable expense reduction of approximately $11 million in the third quarter across our television, audio and digital platforms as well as corporate, compared to the prior year period. Also, as the economy struggles to contend with the pandemic, should it be necessary to maintain these cuts beyond Q3, the effective impact of doing so would result in additional $10 million to $11 million in fixed and variable cost reductions in Q4, depending on how revenue performs in the quarter. In summary, the second quarter was one of the most challenging and difficult quarters in our company’s history. While we also foresee a difficult third quarter as this pandemic endures, we are encouraged by the positive signs we are seeing with our revenue base in Q3, and furthermore, believe that the decisions we made regarding our cost restructuring efforts were necessary to ensure financial progress in these difficult times. I will now turn the call over to Chris to go through financial revenue.
Chris Young: Thank you, Walter and good afternoon everyone. As Walter has discussed, net revenue for the quarter was down 35% to $45.1 million, compared to $69.2 million in the same quarter of last year. Operating expenses decreased 24% to $33 million and consolidated adjusted EBITDA decreased 86% to $1.7 million. For our TV division, revenues in the second quarter decreased 29% to $27 million. Political revenue totaled $1.3 million in retransmission consent revenue, totaled $9.4 million, representing an increase of 3%. Radio net revenue for the quarter was down 53% to $6.8 million, compared to $14.4 million in the same quarter last year. The decrease in our radio segment was primarily due to decreases in both national and local advertising revenue. Digital net revenue for the quarter declined 32% to $11.4 million, compared to $16.8 million in the same quarter of last year. SG&A expenses decreased 20% to $10.9 million for the 3 months period ended June 30, 2020, from $13.5 million in the prior year period. Direct operating expenses decreased 25% to $22.1 million compared to $29.7 million in the prior year period. The decrease on both line items was primarily due to our ongoing cost-cutting costs to bring our operations in line with a difficult economic environment. Corporate expenses for the quarter were down 17% to $5.4 million, compared to $6.5 million in the prior year. Tax expense was actually a benefit of $5.3 million for the quarter, while cash taxes paid was $322,000. Earnings per share for the quarter were a positive $0.03, compared to a loss of $0.19 per share in the same quarter of last year. Net cash interest expense was $1.3 million for the quarter, compared to $2.5 million in the same quarter of last year. Cash capital expenditures for the quarter were $3 million, compared to $7.9 million in the prior year period. We anticipate that our capital expenditures will be approximately $7.5 million for the full year 2020. Turning to our balance sheet, as of June 30, 2020, our total debt was $216.8 million, and our trailing 12-month consolidated adjusted EBITDA was $32 million. Cash and marketable securities on the books was $134.4 million as of June 30, 2020. Net of $75 million of unrestricted cash on the books, our total leverage as defined in our 2017 credit agreement was 4.43x as of June 30. Net of total cash and marketable securities, our total net leverage was 2.58x. This concludes our formal remarks. Walter and I will now be happy to take your questions. Jamie, I will hand it over to you.
Operator: [Operator Instructions] Our first question today comes from Michael Kupinski from NOBLE Capital Markets. Please go ahead with your question.
Michael Kupinski: Thank you and thanks for taking the questions. First of all, congratulations on managing through a very difficult environment and actually overachieving my cash flow expectation and actually showing positive cash flow. I know that must have been a real struggle, and a lot of sacrifices there. So my question is, as we kind of look into Q3, your pacing numbers are actually a little bit better than what I was expecting pretty much across the board. In your Q3 TV pacing number, how much are you anticipating or maybe you are political in that number and then also maybe for radio as well?
Walter Ulloa: For television, I believe the pace that we – that I gave you was minus 8%.
Chris Young: Right.
Walter Ulloa: But core would be minus 14% for the quarter.
Chris Young: Yes, taking up.
Walter Ulloa: Taking up political, yes.
Michael Kupinski: Got it. Yes, yes. And then the same for radio, because, actually, radio in the second quarter actually had better political, I mean, it was a few hundred thousand dollars, but it was a little bit better than what I was expecting. Are you seeing radio kind of with political in there as well?
Walter Ulloa: We are seeing certainly radio with political, not as much political certainly as our television business. But Chris, do you have that pivot information?
Chris Young: Well, I have got a total radio pacing at a minus 33%, and I have got core radio at just – minus 33%, and I have got core radio, I think, it’s not minus 38%.
Walter Ulloa: That’s correct, minus 38%. A couple of points...
Michael Kupinski: Okay. Yes. Okay. And can you just give us your thoughts about political, I guess, for the balance of the year? What you are – I understand that there’s been some presidential money being booked, but it seems like it’s in specific markets. I was wondering if you can just give us your thoughts about the balance of the year in terms of political?
Walter Ulloa: Well, we had a huge first quarter political, well surpassing our budgets. Our Q2 political was about $1.2 million and was slightly under what we have budgeted. Q3, we have got certainly a much larger number than Q2 to achieve. But we feel pretty good about it right now. And of course, Q4 will be the biggest quarter of the year for political. But we feel pretty good. We feel like we are going to certainly achieve our budgets for the year. So far, we are on track to do that. So on we go.
Michael Kupinski: And in terms of the cost cutting you indicated that you can reduce cost, fixed and variable cost in Q4 and indicated what your thoughts were about Q3. What would be the trigger in terms of further action in terms of cost cutting? I mean, are – I am just trying to understand in terms of modeling. What – how we should look at the pace of revenues versus your expenses? I am just trying to understand how you determine to pull back the throttle on the expenses even further if you need to, that sort of thing? Or whether or not we could see some variable cost kind of move back in? What’s going to be the trigger there?
Walter Ulloa: Well, as you pointed out, Michael, we made some pretty severe cuts in Q2. And those cuts have followed us into Q3. Revenue will determine how we manage our expenses going – as we move through the rest of the year. I mean, I think, that’s the best information I can give you. Chris, do you have any comments?
Chris Young: Yes. I don’t think it’s the right call to draw line in the sand saying if we hit this threshold, variable expenses will start to creep in. we are operating at a barebones level right now. When the environment starts feeling better and we start feeling more confident about everything, is when we will start to factor in some incremental expense with the revenue return.
Walter Ulloa: I will point out, Michael, that even though we have made these cuts and they have been severe and certainly deep, I feel that we are operating efficiently, and we are addressing all the needs of our clients and customers. And so I think our people are operating at one of the highest levels that we have ever operated as a company. So I am certainly pleased to see that.
Michael Kupinski: I think my last question is your positive cash flow in the second quarter. Did I hear right that you canceled your stock repurchase program? Given the fact that you are cash flow positive, Q3 is actually pacing better than expected, what are your thoughts in terms of capital allocation, that sort of thing?
Chris Young: So the stock buyback program has been canceled. We were active earlier in the year, but that has since been canceled. We did cut the dividend. Right now, we are in cash conservation mode, Michael. So we should – with de minimis CapEx this year, we are not a big taxpayer, we should be able to generate some significant free cash flow conversion as far as whatever incremental EBITDA we are able to generate. So that’s what we are focused on right now in this difficult environment. And I think our cash balance for the moment is a safety net that we are just trying to protect.
Michael Kupinski: Thank you and be well everyone.
Walter Ulloa: Thank you, Michael.
Chris Young: You too, Michael.
Operator: [Operator Instructions] Our next question comes from Aaron Watts from Deutsche Bank. Please go ahead with your question.
Aaron Watts: Hi. Walter. Hi. Chris. Thanks for having me on.
Walter Ulloa: Hi. Aaron.
Chris Young: Thank you.
Aaron Watts: So you are in a unique position where you have prevalence over both TV and radio stations. And I am just – so obviously, radio was hit harder than TV as people were stuck at home and maybe not in their cars. As you look ahead kind of to what you are seeing in the third quarter, it seems, as though, obviously, TV is pacing stronger than radio, even stripping out political. What’s your expectation as traffic patterns return to more normal? What you’ll see in radio advertising? And do you expect radio to close the gap with what you are seeing on the television side in the months ahead?
Walter Ulloa: Well, we certainly expect the radio to improve. I mean, as you can tell from our – the information we shared with everyone, it’s – the pace for radio has improved, certainly has improved in third quarter versus the second quarter. We believe that that improvement will continue through the quarter. Local is – has rebounded better than national in our radio business. But national is now starting to come alive. Our – the rep that we work with is starting to show some positive information as they pass to us. And so we feel pretty confident as we move through the rest of the quarter that radio will continue to improve. And television is, as you pointed out, it’s faring better than radio and it did in the second quarter. And television is being fueled by both local and national as opposed to radio, which is mostly driven by local right now. But national is starting to come alive in radio.
Aaron Watts: Okay, great. Thank you very much.
Walter Ulloa: Thanks, Aaron.
Chris Young: Thank you.
Operator: And ladies and gentlemen, with that, we will conclude today’s question-and-answer session. I would like to turn the conference call back over to management for any closing remarks.
Walter Ulloa: Thank you, Jamie and thank you everyone for participating in our second quarter investor conference call. We look forward to sharing with all of you our third quarter results in early November. Have a great day, be safe and thank you.
Operator: Ladies and gentlemen, with that, we will conclude today’s conference call. We do thank you for joining. You may now disconnect your lines.